Operator: Good afternoon. My name is Andrea, and I will be your conference operator today. At this time, I would like to welcome everyone to the Zillow Group Second Quarter 2021 Conference Call. [Operator Instructions] Please note, this event is being recorded. Thank you. I would now like to turn the conference over to Brad Berning, Vice President of Investor Relations. Please go ahead.
Brad Berning: Thank you, Andrea. Good afternoon, and welcome to Zillow Group’s second quarter 2021 conference call. Joining me today to discuss our Q2 results are Zillow Group’s Co-Founder and CEO, Rich Barton; and CFO, Allen Parker. During the call, we will make forward-looking statements about our future performance and operating plans based on current expectations and assumptions. These statements are subject to risks and uncertainties, and we encourage you to consider the risk factors described in our SEC filings for additional information. We undertake no obligation to update these statements as a result of new information or future events, except as required by law. This call is being broadcast on the Internet and is accessible on our Investor Relations website. A recording of the call will be available later today. During the call, we will discuss GAAP and non-GAAP measures, including adjusted EBITDA, which we refer to as EBITDA. We encourage you to read our shareholder letter and our earnings release, which can be found on our Investor Relations website as they contain important information about our GAAP and non-GAAP results, including reconciliations of historical non-GAAP financial measures. In addition, please note, we will refer to our Internet, Media and Telecom segment as our IMT segment. We will now open the call with remarks, followed by live Q&A. And with that, I’d turn the call over to Rich.
Rich Barton: Thanks, Brad. Hello, everyone. I hope you’re all enjoying the summer wherever you may be. I am Zoom connecting once again from Zillow CloudHQ. We had another strong quarter for Zillow with our consolidated business, as well as each segment meeting or beating our outlook ranges. We’ve begun to show good execution on Zillow 2.0, our dream of building a seamless integrated experience for our customers and partners. I will talk more about that in just a moment. But first I will top line some quarterly highlights. On the buy side, Premier Agent revenue grew 82% year-over-year and 50% compared to two years ago. Our goal on the buy side of the real estate transaction is to connect high intent customers with high performing partners. And our performance was driven by strong execution against this goal, as well as continued housing industry tailwinds. We continue to improve the quality and quantity of connections we send to our partners by enhancing how our customers shop on Zillow with a particular focus on touring. In addition, once a customer raises her hand to work with a Zillow Premier Agent, we are constantly refining how quickly we introduce that customer to her agent, which makes all the difference in such a competitive buyer environment. On the partner side, we continue to focus on building a network of high performing agents who are aligned with us on providing a high quality experience to our customers as they move to a new home. On the sell side, Zillow Offers continued to accelerate in Q2 with a record 3,805 homes purchased. We sold 2,086 homes generating a record $777 million in revenue on our Home segment, surpassing our internal expectations for both revenue and EBITDA. Importantly, the Zillow Offers value proposition of a fast, fair, flexible and convenient close has proved more than durable, even in this sizzling hot sellers market. It’s a nod to just have dreadful and dreaded prospect of selling, buying and moving is to people. Likely this is not a surprise to any of you. In our surveys of homeowners who want and need to move, when we present the Zillow Offers concept, the largest objection is there must be a catch. I’m pretty happy to market to that objection. As we discussed on our last call, we entered Q2 with strong customer interest in ZO, which accelerated throughout the quarter and into Q3. Allen will get into more details. But as we said on our Q1 call, we saw significant customer demand at the beginning of Q2 that we expected would drive revenue growth on a lagged basis in Q3, which is now leading to our strong Q3 outlook. And we continued to see strong growth in customer demand as we entered Q3 that we expect will favorably impact revenue in future quarters. With that in mind, we are focused on making progress automating key workflows in support of building a large scale operation. Also as we discussed last quarter, we recognized that our Zillow Offers unit economics are above our plus or minus 200 basis point guardrails as we build and scale the business, a trend that continued in Q2 despite our efforts. We expect these unit economic trends to normalize over time as we iterate, continue to learn and as home price appreciation inevitably slows. We’ve been testing pricing elasticity in this hot housing market and we saw rapid conversion game throughout the quarter as we improved our offer strength. We believe these tests will serve as well across future market conditions. As we strive to be a market maker across housing cycles. We expect to the homes we are scheduled to purchase will trend towards our plus or minus 200 basis points target over the course of the second half of the year. Additionally, earlier this week, a Zillow Offers subsidiary launched and priced a securitized debt offering, which is expected to close next week. Allen will provide more details on this later in the call. As the Zillow Offers business continues to accelerate, we are seeing lift to our Zillow Home Loans with approximately 40% of purchase originations in Q2 sourced from Zillow Offers. In total, our Q2 purchase originations grew by 90% year-over-year as we continue to build a mortgage factory that serves both purchase and refinance transactions. An example of this is our new self service mortgage prequalification offering, which automates the process and makes it more efficient for our customers. All of these efforts came together this quarter to deliver a total company revenue of $1.3 billion up 70% year-over-year. And importantly, our newly provided gross profit measure, which I will talk to more in a moment, was $538 million in Q2, up 92% year-over-year and 79% from the same period two years ago. Now onto what’s happening around us. We believe there is strong durable support for the housing market. Historically work and location have been inextricably bound together. The pandemic has jolting and dramatically unbundled work from location for many, creating a new flexibility by enabling people to optimize for work and location separately and simultaneously. Moving to the big city is no longer a requirement for many job seekers and that shift will inevitably disperse talent and economic opportunities. This untethering of location from work fields deeply important to me for the future of work and life and by implication housing, what we’ve been calling the great reshuffling. It is also why we at Zillow leaned in hard and early on the CloudHQ idea as the future of work, as you can read about it in today’s New York Times front page business section article by Sarah Kessler, featuring Zillow Vice President, Meghan Reibstein one of our many folks who cut the cord from our old Seattle HQ and moved to Asheville, North Carolina, to be near and support her family. On the recruiting side year-to-date, we have had 153,000 candidates apply for a job at Zillow, which we believe has been fueled in part by the possibilities of our permanent location flexible policy. This is one of the factors we see driving the housing market for some time, the other important factors being millennials entering their prime home buying years and low interest rates. Stepping back, we have always had audacious goals guided by our strong urge to empower people vis-a-vis the expensive, confusing, emotionally and financially fraught process of buying and selling a home. Our initial dream was to build the most trusted environment home-related marketplace and to solve a big problem in real estate, the lack of transparency in home shopping, to turn on the lights. This dream started with both the Zestimate, our killer algorithm that put a price on every rooftop in America and zillow.com one marketplace where everyone could search and find homes with data easily at their fingertips, something not possible prior to Zillow. This transparency and convenience became the accelerant for establishing Zillow’s brand in real estate and making it the most popular place to dream and shop with an average of 229 million monthly unique users coming to our mobile apps and websites in Q2, including our great adopted sister brands, Trulia and StreetEasy. Zillow brand became synonymous with real estate empowerment. But the fundamental transaction continued to be painfully stuck in the 50s, resisting the gravity of digitization. So our dream and ambition moved from the top of the consumer funnel down to the bottom of the funnel to the transaction itself. We of course, recognize that our huge brand and traffic, as well as our DNA as software engineers, many of us grew up at Microsoft in the 90’s would advantage us relative to this large and daunting challenge. So our expanded dream is to reengineer streamline and digitize the moving process, as you heard me call it many times Zillow 2.0. We believe customers want speed, simplicity, integration and value, fairly safe consumer desires in which to invest in my opinion. To deliver on this dream, our strategy has been to build an integrated set of real estate products and services, both owned and operated and with professional partners that can be mixed and matched to make it radically easier for all the dreamers and choppers on to transact and move to their next chapters. We are executing nicely on this ambitious growth strategy and progressing well towards each of the three to five year growth objectives that we communicated 2.5 years ago when we announced Zillow 2.0. In our IMT segment, our stated three to five-year objective was $2 billion in revenue up from $1.2 billion for 2018, and we are on track to deliver. Additionally, our current run rate has already exceeded our original three to five-year objective for IMT segment annual EBITDA of $600 million and 30% margin. And our Home segment is performing well just by completely shutting down purchases in the early phases of the pandemic and building operations during the most rapid change in home prices ever recorded. As I said above, we are now back on track with our original objective to purchase 5,000 homes per month and to generate annualized revenue of $20 billion within the original three to five-year timeline. For Zillow Home Loans were also on course to achieve our stated goal of 3,000 mortgages originated per month within the original timeframe we set. Today, we are seeing more and more signals from our customers that validate our integration thesis and growth strategy. Home shoppers and buyers who once just thought of Zillow as a place to search and find are starting to understand and take advantage of the reality that we now offer so much more. As one example, we are building a program called Zillow 360 that enables our customers to sell their current 100 Zillow Offers, by their next time with a Premier Agent and finance it with Zillow Home Loans. The customer then uses Zillow Closing Services to finalize the transaction and ultimately receives a discount for using the bundle package. While we still have a long way to go on scaling Zillow 360, we are seeing strong interest in higher close rates when offering packages of services to customers versus single standalone services. Looking forward, we see our ability to execute on programs like Zillow 360 is competitively differentiated. Due to the volume of visitors to our apps and sites on a daily basis, we are able to spread our low customer acquisition costs across these additional adjacent services, which allows us to pass along savings to our customers while generating returns for our shareholders. As we broaden and integrate our services, our business lines are beginning to merge in service of our end customers. In an effort to pick a long-term success measure that considers this integration, we have increasingly been focusing on total company gross profit dollars. For context in the last 12 months, our total company gross profit was just over $1.9 billion growing 54% compared to the prior 12 month period. Moving forward, we plan to focus on growth profit dollar growth as a key measure of success. First and foremost, the metric is increasingly how we are measuring the business internally. Instead of optimizing for gross profit dollars generated by one particular service, we are increasingly finding ourselves thinking about the total enterprise gross profit pool that is produced when we offer multiple services to our customers. We think this creates the right incentives to run our business and as much more in line with how we want our end customers to think about what we offer to them. Second, this metric level the playing field for comparability between our seemingly disparate businesses that are actually showing up to customers under one Zillow branded umbrella. Set another way, gross profit enables us to simplify comparisons across the various segments, including Zillow offers, where we report revenue based on the full sales price of the home. This simplification allows us to measure our operating efficiency in a more holistic and understandable way. As we ultimately strive to grow total company cash flows over time. From an external perspective, our gross profit measure reminds us that we have built a differentiated platform for growth. One that is tackling all parts of the moving process with so much room to grow across all of our services, and last, as we scan across the competitive set, we look at our sizable gross profit pool as a competitive advantage to further invest in innovation with the end goal of building terrific customer experiences and driving sustainable long-term profitable growth. Since we launched Zillow 2.0, we have vastly broadened our service, which is allowed us to grow our gross profit dollars well beyond real estate industry growth. My expectation is that we will continue to grow our currently small market share transactions like continuing to broaden our services and increasing the number of services each of our customers use per transaction. Embedded in our ability to drive secular growth or some confident assumptions about our business and opportunity, first, consumers will demand an e-commerce experience for their real estate transactions. Second, our scale and strength of brand gives us a customer acquisition cost advantage. Third, our suite of connected offerings fit together well to serve our customers and partners. And fourth, our location flexible workforce will allow us to attract and retain a deeper and more representative talent pool from across the country to best serve our customers. Our recent customer example validated all four of these assumptions. Enna and Tony of Atlanta recently wrapped up a seamless move to their new home with the help of Zillow 360, feeling overwhelmed by the prospect of balancing closing dates with their daughter's school schedule and other commitments, Enna and Tony decided to accept an offer to sell their home to Zillow, recognizing the ease that Zillow brought to this experience, they were intrigued when our teams told them they could buy, finance, close their new homes in Zillow 2.0. The opportunity to align the buying and selling process, so it could work on their timeline was too good to pass up. So we connected them to one of our awesome agent partners who help them find their dream home. By this point, financing with Zillow was no brainer for the couple. To put icing on the cake, I found out last week that Tony was so impressed with Zillow during his move that he subsequently applied for, God offered and then accepted a role with our Zillow office team as an estimator, wow. To close as a significant Zillow shareholder, I evaluate our opportunity in three ways, is our TAM large and untapped? Are we in a strong position to capture that opportunity? And are we able to execute? It is clear. And my 2.5 years back in the CEO seat that the answers to these three questions are all resounding yes. I'm really proud of the progress the team has made, but we do have miles to go before we sleep in our new home on a soft pillow, above a kitchen with marble countertops and a doggy door to the backyard. We truly appreciate your continued support, confidence and investments. I will now pass the microphone over to Allen.
Allen Parker: Thank you. Thank you, Rich. Zillow group delivered another strong quarter reporting Q2 consolidated revenue of $1.3 billion and EBITDA of $183 million both exceeding the high end of our outlook range, while we accelerated investments into our business in Q2 is important to note that total EBITDA of $183 million was up from $2 million in the same period two years ago. We are at the point in our Zillow 2.0 journey where it makes sense to evolve, how we measure our success. As our business becomes more integrated, our focus is shifting towards growing our total gross profit pool. This will allow us to continue to invest in innovation for our customers and partners and drive sustainable, profitable growth for shareholders, by getting this quarter and going forward, we are now presenting gross profit within our statement of operations. We have made adjustments to our prior period cost of revenue figures to reflect the calculation of gross profit in accordance with GAAP. These adjustments are summarized in Note 2 to our Form 10-Q. Gross profit for Q2 was $538 million, up 92% year-over-year. And it was $1 billion for the first half of 2021, up 70% year-over-year. As we look forward, it is important to note that we will optimize our total gross profit and EBITDA versus individual segment results, as we execute to best serve our customers. Moving to our segment results, Q2 IMT segment revenue was $476 million, growing 70% year-over-year and 40% on a two-year stock basis. Our IMT segment continued to benefit from improved execution that drove higher – that drove growth and higher intent connections in Premier Agent, continued demand for services in our other IMT segment marketplaces as well as tailwinds in the housing market year-over-year. IMT segment EBITDA was $218 million in Q2 or 46% of IMT segment revenue. The revenue outperformance and continue to operate in efficiency translated into more than 130% year-over-year EBITDA growth in Q2, when excluding the impact of our Better Together discounts from the same period a year ago. Growth in Zillow Offers continue to accelerate in Q2 and exceeded our expectations with 2,086 homes sold, driving $777 million in Home segment revenue. We made progress this quarter in improving our pricing models, including launching the Neural Zestimate, which sharpened our Offers strength. The Neural Zestimate puts more weight on attributes of Homes and allows more granularity at the asset level placing less emphasis on repeat home sales price comparisons. In addition, we continue to make progress building automation at the top of the funnel when providing offers to customers. These improvements drove rapid gains in conversion rates in Q2 when compared to Q1, resulted in record purchases, more than catching up to our pre-pandemic pace. We purchased 3,805 homes during the second quarter, more than double what we purchased in Q1. Our Q2 Zillow Offers unit economics of 576 basis points before interest expense was above the plus or minus 200 basis point guardrails we set for ourselves while working to scale the business. The outsized unit economic results of 665 basis points higher than Q2 2020 did benefit from the ongoing strong housing market, which we fully recognize is temporal in nature, and largely contributed to the 312 basis points, lower home acquisition costs of 87.1% in Q2. We also note that the 353 basis point improvement from a year ago in renovation, holding and selling costs were largely durable operational improvements, clearly some portion of the holding costs and a smaller portion of the renovation costs likely benefited from the strong housing market. But we also see opportunities for continued operational improvements over time. Mortgages segment revenue increased 68% year-over-year in Q2, a $57 million and Mortgages segment EBITDA was a loss of $6 million compared to the midpoint of our outlook range of a loss of $7 million. We made significant progress in our integrated origination platform during the quarter with Zillow Offers contributing approximately 40% of purchase originations, helping to drive 100% sequential purchase growth in Q1 and 90% purchase growth year-over-year. With the increased purchase originations and the slowdown in refinance activity, purchase origination is now comprised 26% of the total loan origination volume, up from 10% in Q1. The purchase mix will bounce around from quarter-to-quarter based on the refinance market, but we are focused on growing our purchase origination platform. This is just one more example of how our services are becoming more integrated and complimentary to one another, following our success in launching Zillow Closing Services. Turning to our outlook for the third quarter, on a consolidated level, we expect revenue to be $2 billion at the midpoint of our outlook and EBITDA to be between $94 million and $126 million. In our IMT segment, we expect 15% year-over-year revenue growth and 43% growth over 2019 in Q3 at the midpoint of our outlook range. Within the IMT segment, we expect Premier Agent revenue to be between $352 million to $360 million, up 19% year-over-year and up 48% over Q3 2019 at the midpoint of our outlook. The progress we have made and growing and improving our higher intent connections is allowing us to maintain our PA growth rate on a two-year stock basis, despite the impact of continuing low inventory in the housing market. We expect Q3 IMT EBITDA margin to be 37% at the midpoint of our outlook, down sequentially from 46% in Q2. As we discussed last quarter, we plan to accelerate investments in marketing, staffing and technology in Q3 to drive our 2.0 vision. This includes things like touring, underlying integration products, such as Zillow 360, expanding 3D photos and floor plans along with better integration between Premier Agent and Zillow Home Loans. We expect these investment levels to be consistent in Q3 and Q4 when modeling it is also good to keep in mind the seasonality of typically lower Q4 revenue.  Thinking about full year 2021, it's important to remember that IMT EBITDA exceeded our expectations for the first two quarters of the year. We expect the incremental outperformance in the first half to flow through resulting an IMT EBITDA dollar growth outpacing revenue growth for the full year. In Q3, we expect our Home segment revenue to increase sequentially from Q2 to $1.45 billion at the midpoint of our outlook range. This step up in pace demonstrates our confidence in our ability to scale resulting from the progress we have made in strengthening our pricing models and automating the top of the funnel. Evidence of our accelerated pace can be seen in our homes under contract, which was $1.2 billion at the end of Q2, up 126% from $511 million at the end of Q1. I will reiterate that our goal here is to become a true market maker. As we think about unit economics on a go-forward basis, we would expect to see a unit economics trend towards our stated goal of plus or minus 200 basis points before interest expense over the course of the second half of the year. Please also note that this quarter we provided a wider forecast range for our Home segment, which incorporates a range and resell velocity that we think is appropriate, given we are finding market pricing levels and approaching the slower seasonal period of the year. We expect Mortgages segment revenue to be between $55 million to $62 million in Q3, which is roughly flat from Q2. Our Q3 outlook reflects slower industry refinance activity, consistent gain on sales spreads and continued growth in purchase originations. As a result of flat revenue and continued investments to grow mortgage originations, we expect Mortgages segment EBITDA to be between a loss of $13 million and $6 million. We ended the quarter with $4.6 billion in cash and investments, which puts us in a strong position to fund our vision for Zillow and make strategic long-term investments both organically and inorganically. As a reminder, we have a $500 million commitment to acquire ShowingTime, as we continue to cooperate with federal regulators to work diligently towards closing the pending acquisition. Earlier this week, at Zillow Offers subsidiary launched in price it's securitized debt offering, which is expected to close on around August 11. The company anticipates gross proceeds of approximately $450 million from the offering. The securities will have a 30-month term and a 24-month reinvestment period in a weighted average interest rate of 2.43%, which is lower than the rate on our existing credit facilities. Similar to our existing debt financing, this is a non-recourse to Zillow group subject to limited exceptions. Proceeds of the offering will be used to finance the growth of Zillow Offers business. The securities weren't registered and not being on this call should be interpreted as an offer of the securities. As we look forward to the balance of the year, my priorities are focused on building processes and mechanisms to support rapid scaling of Zillow 2.0 products and services, prioritizing investments in sustainable gross profit growth opportunities across the company, improving our cost structure by increasing productivity and transaction services through operational discipline. And with that operator, we'll open the line for questions
Operator: [Operator Instructions] And our first question will come from Brent Thill of Jefferies. Please go ahead.
Brent Thill: Good afternoon. Rich, you mentioned that you're on track to for your 2019 original goal to hit over the next three to five years. Could you just articulate the pathway of what you need to do now to achieve the full vision of that goal? And then I had a quick follow-up.
Rich Barton: Hey, Brent. Thanks. Yes. Zillow Offers is back on track which is nice. In terms of the kind of constraints to the plan going forward and then achieving the ultimate dream here, I guess I classify them in three categories. One ourselves, two, consumer awareness, and three capital. The biggest one and most important one constraint is ourselves and by that I'm just saying it's execution. Like we're growing this thing as rapidly as we can, and really quickly in an operationally complex way and we're tuning it simultaneously. So it is a challenge we've got to focus on increasing automation. We've got to get better and better at pricing. We have to reduce costs all at the same time. So there is a executional constraint or challenge that I do I believe, and I'm confident we're up for it. But that's the biggest. The consumer awareness one, I talked about it a little bit, in my prepared remarks. It's not insurmountable at all. It is a relatively straightforward marketing challenge to have such a compelling consumer proposition. So I think we're okay there, we will have to focus on increasing consumer awareness of it though. But again, we have a big advantage with these hundreds of millions of people that come to Zillow, looking at Zestimate, many of which are Zestimate offers now. So we have we're up to that challenge. And then capital, you heard Allen talk in a very legally scripted way due to SEC regulations about where we are in that offering right now, but we're, I'm really excited by the progress we are making on cheapening, deepening and lengthening our access to capital. So while it is a really important constraint, it's kind of the fuel for the ship. We're looking very good on access – on securing access to that fuel. I know I'm getting long-winded. You asked it a bit of a kind of ultimate opportunity in TAM question. I confess to being quite excited by how well Zillow Offers is doing in such a hot sellers market, which has me for one kind of probing at the perimeter of my kind of penetration and TAM expectations here. And thinking about, just how – we don't know of course, but just how much of the market will end up moving towards iBuying and Zillow Offers solution, I don't know, but comparatively more confident now than I was even a quarter ago – so even a quarter ago. So it feels good to me. TAM is a good question, but it is a question for later we're so under penetrated right now at less than – way less than 1% of home transactions that we can kind of begin to explore that in more detail later, just because it's such early days anyway. Thanks for the question, Brent.
Brent Thill: Thank you.
Operator: The next question comes from Ron Josey of JMP Securities. Please go ahead.
Ron Josey: Great. Thanks for taking the question. And Rich, just wanted to say, I really appreciate your podcasts this quarter on how I built this. And I wanted to ask a little bit more on the early on Zillow 2.0 and the launching of Zillow 360. I know we're in the early stages and I think you said miles to go, but we also set talked about 40% of purchase originations were sourced by Zillow Offers. And so we're starting to see this integration happened in the real world. And so maybe talk just about what needs to happen for all these integrations. Maybe the bigger picture from a value can we know the consumer value prop, but just the bigger picture of the roadmap of how PA integrates with Offers and integrates with Mortgages, et cetera. And then since, we're more focused on gross profit would love to understand the financial benefits of call it the bundling. Thank you.
Rich Barton: Okay. Thanks for the question, Ron. Yes, and that guy Ross thing was – it was fun. It was a bit of a death march though. I think the interview went for like four hours and he clipped it down to an hour. I was kind of exhausted by the end of that thing, but it was fun. Okay. So yes, I mean, clearly Zillow is going – going – accelerating as you noted. And you also noted that kind of interestingly, so is everything else, all right. And it's not just the market that's doing that for us. PA is cooking really nicely and has plenty of room, our Premier Agent business. Rentals is growing nicely. Mortgages is going and Zillow Closing Services is going really nicely as well. It just turns out it's not a surprise. It's a bet we've made. But it just turns out that all of these businesses are interrelated because it really is. They're all just part of one transaction. I've come to think of them as different doors into the same room. That room is I want to move, make it easier, please, so our ability to increasingly package integrate and offer these mix and match menu of services is clearly working. The numbers tell the story there. So that anecdotal data point we gave you, you just cited the 40% of purchase mortgages originating with Zillow door is one of the kind of specifics we're sharing to kind of give some light on that. We also have had some early success with our Zillow 360, which is a new package that offers a discount that we're playing around with. And that's showing real promise. The Zillow Closing Services attached is going well. So we can look at – we can begin to look at these little breadcrumbs of it working, but I think the best evidence is really staring us in the face. And that is just simply looking at quantum gross profit, $1.9 billion of trailing 12 months quantum gross profit, that's big and it's growing quickly. And it is that pool of gross profit that funds all of this other cool stuff that we're doing, all of this R&D, all of this marketing, all of these new services that are in development for our customers. And as we're able to invest all of that money in these things, the lovely scale economy wheel begins to turn and it's turning nicely right now. Anyway, so it's that integration of the businesses that has driven us internally to look at this overall gross profit dollars, rather than by vertical business. We also want to be able to play with pricing as well without having internal competition. It's all just one transaction. On a go-forward basis, you asked what are we watching, and I would say that, we're focused on the normal, typical, transactional e-commerce like drivers, okay. That your experience with your e-commerce companies, very different from the old Zillow, very similar to your e-commerce companies, how many trends – how many transacting customers do we have? How many transactions do we have? How many services per transactions are there? What is the profit per transaction? Okay. And we have an eye on the overall customer package profitability rather than optimizing for any of these individual ones. So that's one of the key reasons we like it, we like the comparability to. Our guidance ramp implies a ramp – our guidance implies a ramp in gross profit, right. but I for one and quite – as you can hear, I'm quite excited by the potential growth of each of these variables that go into the gross profit equation. Each one of those drivers that I just laid out, I see lots of opportunity for driving higher, which will multiply the leverage we see or growth leverage we see and we now have organized the company, we're organizing our filings and segment reporting, we're getting organized around these new e-commerce transactional metrics. So anyway, I had tons of interesting stuff ahead in my opinion.
Ron Josey: Thanks, Rich. Very helpful.
Operator: The next question comes from Brad Erikson of RBC Capital Markets. Please go ahead.
Brad Erikson: Thanks. So I guess a question for Allen. Allen, you talked about the accelerating investment across the IMT business. So I guess within that, there's a lot of moving parts, but maybe just talk about how sustainable the IMT margins are feeling certainly through the second half of the year and then maybe beyond, and then separately. Can you just give us any details, I guess, on how some of those investments are being allocated here in the second half of the year? Thanks.
Allen Parker: Yes. Brett, thanks for the question. Well, I'll start just to reiterate that what we said before, we believe the margins that we saw in the second half of 2020 and continuing into the first half of 2021 for IMT are indicative of the inherent underlying margins of steady state business. But we're still very early in our journey and we see opportunities to invest into growth. We participate only in a small percentage of transactions relative to our audience and the industry. Our Q3 outlook implies 37% EBITDA margins at the midpoint, which is down 875 basis points sequentially. We expect our Q4 investment levels to be consistent with Q3 factoring in that Q4 revenues do experience historically a little weaker seasonality as compared to Q3, but fairly consistent in the Q4. I'd note that the 37% margins are still up significantly over 2019 full year levels, which are 23.8%, and up from our three to five-year objectives at 30%. So while we're increasing our investment levels in the second half of 2021, we continue to generate leverage across the segment as we've made progress even during the pandemic. In terms of areas of investment or where we're thinking of investing, I called out some tangible examples in my prepared remarks. The priorities we have is to drive better customer experience, broader integrated product offerings, and continued scalability through operational rigor and automation across the businesses. It gets back to Rich's point that the consumer is going to demand an e-commerce solution for the industry and we're well positioned to serve that. We do expect these investments deliver strong ROI via gross profit growth, and we believe it's prudent given our focus on the customer and driving transactions to make these investments. It's the right thing to do to continue to invest here.
Brad Erikson: Got it. Thanks.
Operator: The next question comes from Brian Nowak of Morgan Stanley. Please go ahead.
Brian Nowak: Thanks for taking my questions, guys. Wanted into sort of drill a little bit into the PA growth in the quarter there's a lot of discussion around sort of the macro housing market and certainly will a deceleration and transactions impact growth? Maybe talk to us about what you saw on growth in price per impression or transaction growth. You mentioned earlier, Rich. So what are you seeing in sort of the underlying auction dynamics driving this PA growth? And then what are you sort of incorporating in the guide from a transaction or a price per transaction perspective? Just so we can sort of understand the macro assumptions underlying the business right now.
Allen Parker: Yes. So maybe I'll start Rich and you could follow on. Thanks for the question, Brian. First, I'll say I have been really impressed by our PA team's execution, while the macro over the last 12 months has provided some tailwinds. This really is I think a story of execution in terms of our performance. We’re continuing to grow the quantity and quality of the connections. We’ve said that a few times. So, our Q3 guide implies PA revenue growth of 19% year-over-year at the midpoint, but 48% growth over the two year stack compared to Q3 2019. We’ve have demonstrated our ability to improve and grow our higher intent connections by enhancing how our customers shop at Zillow with a particular focus on touring. We believe this is the next opportunity, and it’s part of our endless quest to improve the integrity of our funnel and improve customer experience for our consumer customers, looking to move and buy a house. When a customer raises their hand to work with one of our partner agents, we are constantly finding how quickly we introduced him to that customer that customer to our agent. And that makes all the difference in such a competitive buying environment. So again, what I’d say is, a lot of the factors that we look to that are driving growth are our ability to take our customers that are in the funnel based on the actions they take, take the high intent customers, provide them with a great performing agent, quickly to help them get to the home that they want to buy. And again, we’re continuing to introduce our customers to higher performing agents as well as we go through our agent base, who share the same goal was us, which is helping our mutual customer buy their next home. So lastly, we continue to see opportunities to invest in innovation and technology. We’re investing, because we think there’s a really good return here and a big opportunity, while we have a large audience with still a very small percentage of the transaction share. Rich, I don’t know if you would add anything.
Rich Barton: Well, Hey, Brian. Yes, I mean, so recent macro stuff in the industry, like skinny inventory for – of homes, coupled with super rapid sales cycles, and skinny rental inventory as well is obviously factoring into our business in some way and factoring into our guidance. I think we’re lucky though, and that’s really big trend that sits above all the throne to rule them all for us here is this kind of big shift of offline to online. That’s the big lever kind of the old way, the new way, analog to digital. And we’re really a great beneficiary there as the digital leader. We see that as the dominant trend and there are some kind of smaller, shorter wavelengths, cyclical things going on in the industry right now that certainly affect things. But I don’t want to ignore them, but are a little less important. That said, even in those cycles, we see the big tailwinds being demographics for millennials, low interest rates, and the great reshuffling as good durable positive housing market macro wins. On the PA guide in particular that you’re asking, I’ll also say that yes, the PA transaction and revenue guide is important. But it is just one of many transactions that are happening now and happening in an increasingly integrated way. So I’d be remiss without pointing out that looking at kind of transactions overall is the – is what tells the big – I think the big story and the really good news for us going forward.
Brian Nowak: Great. Thank you both.
Rich Barton: Thanks, Brian.
Operator: The next question comes from Spencer Ken of Evercore ISI. Please go ahead.
Rich Barton: Spencer, you might be on mute.
Mark Mahaney: Hello. Can you hear me?
Rich Barton: Yes, we can.
Mark Mahaney: It’s Mark Mahaney. Sorry. I think we got our codes mixed up. Sorry about that, Rich. I like the gross profit maximization optimization reporting strategy, ethos, whatever it is. I’m not sure about quantum gross profit, but gross profit I get. So I think that’s good. I like that. And then the one question I had had to do with these – the guardrails getting back to that plus or minus 200 bps. Now you’ve been saying this for a bit in the last couple of quarters, you’ve been well above that. What’s the most logical way for which of those expense items is going to show a little bit of deleverage and get you back down to that negative 200 deposit of 200. Thanks.
Allen Parker: Yes. I can start Rich. So I think if you look at the improvement, I called out in my remarks, the 312 basis points that we’ve seen versus this time last year Q2 of 2020 in acquisition costs, that’s going to be the area where we see most of the decline as we move back into our guardrails. We’ll likely see if sales velocity, resell velocity goes down a little, we’ll likely see a slight uptick in holding costs. But the big change is just going to be this. Right now, we’ve got a 13% spread between what we sell the house for and what we acquired it for. And again, as a market maker, that spread is being impacted by HPA. And we expect that to go down over time and be more temporal.
Rich Barton: Yes. Price is moving really quickly, Mark, it’s hard for us to keep up with it. On the quantum gross profit, let me argue though, just make the argument I did, but maybe I wasn’t clear, is this normal? It’s just a big pool and that big pool enables us to invest a ton more in tech and R&D than competitor. So, I mean, it’s kind of a way of us making sure that we can internally compare things on a level playing field, but it enables – you all were looking at gross profit already, honestly. So, that’s maybe not the way, it’s not big news to you. But we’re beginning to – we have begun to really focus on it internally anyway.
Mark Mahaney: No. It makes a lot of sense. Thanks. Thanks, Rich.
Operator: The next question comes from Ryan McKeveny of Zelman & Associates. Please go ahead.
Ryan McKeveny: Hey guys, congrats on the results and also on the securitization. Thank you for taking my questions. Following up a bit on Mark’s question just now around the guardrail – the guardrails, and maybe asking a bit differently. Where are the service fees today? And if you can’t say directly, maybe directionally, how have those changed. And I think implied in your commentary about testing the price elasticity and seeing the conversion on the improved offer strength effectively implies a better fee to the customer. And I guess part two of this question is ultimately if we move to a housing market, that home price is growing at a more normal pace, as opposed to the rapid gains we’ve seen. What do you envision as that consumer fee, maybe relative to the competitive set of traditional commission rates, because I think ultimately that’s what investors are somewhat grappling with on the margin profile of buying is ultimately where the margin shakes out in a more normalized environment. So we’d love to hear your thoughts on kind of the consumer fee piece of things, where that has trended and ultimately where that may shake out in a more normal environment. Thank you very much.
Rich Barton: You want to start Allen?
Allen Parker: I can. Yes. So I guess, I would describe it one, thanks for the question is we’ve provided a kind of long at scale type profitability. We think we can get on a return on home sold before interest of around 400 to 500 basis points. But again, given the penetration, the low penetration numbers of iBuying right now, and the opportunity to scale the guardrails that we’ve set are the plus or minus 200 basis points. We don’t think about it, I guess, in individual components of fee versus value. We kind of look at it, what’s the overall transaction cost to the customer to incent them and that we can still turn into a profitable business. So I think the fee is likely to continue to vacillate and change as we test pricing and elasticity. What we’re focused on is trying to get the most accurate pricing to be fair to the customer and to continue to reduce our cost structure with the benefits of scale automation and productivity. So I guess to answer your question, we still believe on a standalone basis the 400 to 500 basis points at scale is likely a number that we would see as a market maker. But it’ll come in a lot of different forms. And then as Rich mentioned, what will also be there is as we have our customers come through various funnels on Zillow their ability or their willingness as we introduce multiple services to them to take those multiple services allows us to provide even sharper pricing across those services, because we’re not having to go out and use CAC to acquire each customer for each service. Rich or Brad, would you add anything?
Rich Barton: I thought that was pretty good, Allen, really good. We think if we can get – we’ll play with all these different levers that we have, Ryan, with the fee, home price appreciation, net price, et cetera, we’ll play with it. But ultimately what we’re trying to do is get people an amount of dollars in their pocket that they would have gotten approximately what they would have gotten via any other way that they would have sold, that’s the goal. And we think doing that, offering a fair price, it’s a terrific consumer proposition and a great business for us.
Ryan McKeveny: That’s really helpful. Thank you. Thank you both. And one follow-up question on the cost side of the iBuying model. So the selling cost as a percent of revenue, I think this is the third quarter in a row, maybe longer that that’s been 3.8% of revenue. And I think one of the assumptions has been that using in-house agents on the iBuyer transactions would over time move that selling cost lower, actually make more leverage in the model on that. So is that still a fair expectation going forward? And maybe just big picture, where are you in the process of transitioning to the in-house agents? Thank you.
Rich Barton: Yes. So I think the answer to your first question is, we continue to see opportunity to reduce the 3.8% as we build Zillow brokerage services, as well as continued to partner with our agents. We are still very early in the number of markets that we have Zillow broken services in. And so, we are focused on scaling the business as well as Zillow broker services, but it’s still relatively early as we roll that out.
Ryan McKeveny: Got it. Thank you very much.
Operator: This completes the allotted time for questions. I will now turn the call back over to Rich Barton for any closing remarks.
Rich Barton: Okay. Well, thanks everybody. Thanks for your time today. I know it’s a busy earnings day. And I’m on the East Coast, so I know its perch and cocktail hour as well. We appreciate your continued support and confidence. And I look forward – we all look forward to talking with you again really soon. Have a nice night.
Operator: This concludes today’s conference call. You may now disconnect.